Maria Carrapato: Okay. Good afternoon. Welcome to our full year '25 conference call. Thank you for being with us again. We have the full Executive Committee with us, Corporate Executive Committee, and we'll kick off with Marco Patuano, CEO, a brief review of results, handing over to Raimon Trias, speakers for our financial overview, and then we're all available for Q&A.
Marco Emilio Patuano: Thank you. Thank you, Maria. Good morning, everyone. It's a pleasure to be with you again as we open a new financial year and reflect on our results and our strategic progress. So in 2025, we delivered on all our promises, and we confirm how resilient our industrial model is. In a very volatile environment, we continue to execute our strategy with conviction and clarity and delivered results that demonstrate the quality of our assets and most importantly, the predictability of our revenues and organic growth model and reaffirmed the strength of the relationship with our plus. We successfully delivered on our 2025 guidance, and we reiterate our 2027 outlook. We have returned EUR 1 billion to shareholders through share buybacks, 1 year ahead of the plan, representing a total yield of 4.5%. We initiated dividend payments at the beginning of 2026 as committed at our Capital Market Day, and we continue on track to meet our leverage targets, reducing leverage from 6.39x in 2024 to 6.28x in 2025. We have reached an important turning point where year after year, we will generate increasing free cash flows, giving us greater flexibility to enhance our shareholder returns, fund industrial initiatives and reach our leverage targets. In 2025, we grew organically in all fronts with new points of presence accelerating throughout the year, showing continued demand for digital infrastructure. On a pro forma organic basis, our revenues increased by 5.8%, EBITDA by 7.1%, EBITDA after leases by 7.9% with a 1.6 percentage point increase in margin. Transformational industrial actions focused on boosting top line growth, optimizing cost and proactive lease management are unlocking the operating leverage of our business. Our recurring levered free cash flow grew by 11.5% and on a per share basis by 16.7%. And the free cash flow grew to EUR 350 million, confirming the positive momentum. On our capital allocation strategy, we completed the disposal of the French Data Center business, allowing us to increase our focus on core telecom infrastructure assets. At the same time, we have agreed to dispose our participation in the DIV II fund for circa EUR 170 million. DIV II for memory is a participation in a European infrastructure fund underwritten in 2021 in order for us to explore minority investment opportunities in digital assets. And we successfully issued in 2026, a bond for EUR 1.5 billion in 2 tranches to anticipate funding requirements, extending maturities and securing a pricing at 3.4%. From an organizational standpoint, we also recently announced the implementation of a more streamlined and agile leadership structure, which I will give you more color on shortly. Returning to our guidance for 2025, I would like to highlight our delivery across all the key metrics. And the fact that this guidance was set almost 5 years ago confirms the resilience and the predictability of our business. Consistent execution of our industrial plan is translating into operating results, which combined with normalizing capital intensity, underpins the trajectory of growing cash generation and sustained profitability. As I mentioned, we announced a new organizational leadership structure in February, marking important progress in the next chapter of our industrial transformation strategy. The new model is designed to bring sharper strategic focus, deepen customer relationship, enable faster decision-making and stronger functional alignment, all essential to support continued organic growth. We combined geographic cluster with a pan-European Vertical Solutions division, strengthening execution while ensuring consistency across markets. We are entering in a chapter defined by operational focus, team empowerment and agility, ready to capture the opportunities ahead. I would like to give you a flavor of why we created our new Vertical Solutions division. Several connectivity needs today exceeded the capacity of a traditional macro coverage and require solution very specialized by nature. Transportation, venues, city centers, public safety, defense, resilience, all of them are very different in terms of technical solution, but very similar across the geographies. We are deploying an operational model aimed to scale up every vertical connectivity solution, increase the commercial focus and ensure execution discipline and improve accountability. We are already leaders in Europe, leveraging on our centralized design capabilities and our country execution power, we want to further improve our performance. Now I hand over to Raimon to go over the highlights of our operating and financial performance. Raimon, please.
Raimon Trias: Thank you, Marco. Good morning, everyone. I would like to start by reinforcing our very positive performance in terms of organic growth and cash conversion in the year '25. Robust revenue growth, combined with a continuous focus on operational excellence is driving higher profitability, a stronger operating leverage and expanding cash flow. Starting with organic revenues, we delivered a solid 5.8% year-on-year. EBITDA grew by 7.1%, supported by ongoing actions to increase operational efficiency. EBITDA after leases was 7.9% higher, reflecting our proactive lease management activity and recurring levered free cash flow rose 11.5%, supported by the disciplined implementation of our capital allocation strategy. Very important, the recurring levered free cash flow per share grows by 16.7%, underscoring the incremental value we create for shareholders. Moving to Slide 9. As usual, we show you the bridge between reported and organic pro forma revenue growth. Starting from EUR 3,941 million revenues in 2024, the perimeter adjustment for Ireland and Austria brings us to a pro forma revenue base of EUR 3,790 million. From there, the combination of escalators and CPI, colocations and build-to-suit deployments led to organic revenue growth like-for-like of 5.8%. This strong revenue performance, as you can see in the next slide, is led by healthy PoP growth in the fourth quarter '25 and as Marco said, throughout the year. Gross colocation and build-to-suit accelerated to 3,043 in the quarter, demonstrating sustained customer demand and a strong commercial traction across the portfolio. We recorded a strong colocation in France, 220; Italy, 887; and the U.K., 128. We continue BTS deployment across most countries and overall churn was contained at 307 units. Net new PoPs have shown consistent quarter-over-quarter growth throughout the year. Moving to Slide 11. The net PoP growth in 2025 has been 4.5%, fully absorbing a 1.2% churn influenced by the effects of 2 major consolidations in Spain and the U.K. In Spain, despite the Mas Orange network reconfiguration process underway, we recorded year-on-year growth in total PoPs. This reflects the importance of the support we provide our customers in their ongoing network deployments and how we benefit from the unlocked potential for MNOs to invest after-market consolidation. The U.K. also posted consistent quarterly growth, driven by continued 5G deployments, amendment programs and selective new site activity, illustrating the depth of demand and ongoing investment to catch up and improve network quality across the country. If we go to the next slide, the strength of our operational performance is again clear in this slide, which shows organic growth in Towers revenues of 5.5%, driven by contractual escalators, colocation and ongoing build-to-suit rollouts across our main markets. A reminder that these figures are adjusted for Ireland and Austria for comparability. Here, we have selected a few practical examples that show how our industrial strategy is being translated into real-world execution across different areas of the business. First, 5G densification in Italy. Fastweb, Vodafone and Cellnex Italy have extended their strategic agreement for an additional 12 years. This enables enhanced coverage and improved service quality through the deployment of 5G, supported by over 1,000 points of presence across the country. Second, network resilience and power autonomy. Telefonica and Cellnex Spain have signed the first agreement of its kind between a TowerCo and an operator to strengthen power assurance across more than 2,000 sites. This initiative improves network resilience and energy security following the recent blackouts in Spain. There is potential to develop more energy-related business across our portfolio, provide interesting upside to our core tower services. And third, the new markets through nonterrestrial networks. We provide land acquisition and construction capabilities to support low earth orbit satellite initiatives. Cellnex can provide essential gateways between LEO constellations and the terrestrial fiber backbone. Together, these examples illustrate how our operational strategy is being deployed on the ground and how it is opening new avenues for growth while reinforcing our role in next-generation connectivity. Let's move on to Slide 14. Fiber, connectivity and housing services delivered a strong 16% increase in revenues, supported by the continued rollout of the Nexloop project in France. Growth in DAS, Small Cells and RAN as a Service was driven by flagship deployments and the increasing relevance of neutral host solutions with projects delivered across venues and high-traffic locations such as [ Roig ] Arena in Valencia, La Cartuja stadium in Sevilla, PGE National Stadium in Poland, 5G rollouts in Madrid Metro in more than 40 parking facilities as well as multi-operator small cell deployments in Portugal and the renewal of long-term IoT agreements such as Securitas Direct. Our broadcasting business remained stable with a 1.9% growth year-on-year. And importantly, we secured the renewal of our long-term contracts with the leading broadcaster in Spain. On Slide 15, we can see that our industrial plan continues to scale and strengthened by the adoption of AI. The initiatives shown here aim to standardize processes, automate operations and reinforce asset management across the group. This collective effort is making the organization more agile, reducing operational complexity and improving our ability to respond quickly and consistently across countries. It is also visible externally. In 2025, customer engagement reached a new high with customer satisfaction index increasing to 8.3 out of a maximum of 10, the best result of the past decade. We are on a path of coordinated transformation that is elevating efficiency, effectiveness, quality and overall service experience. This industrial platform has helped so that our efficiency initiatives are translating in clear margin expansion, as you can see in the next slide. On a pro forma basis, we reduced cost per towers across all our key cost categories, 1.9% less in staff cost, 1.4% less in repair and maintenance, 4.9% reduction in SG&A per tower and 1.1% reduction in leases. Land management remains a key value driver for us. We deployed EUR 270 million across land acquisition CapEx and efficiency programs, generating around EUR 24 million in efficiencies, displaying how our disciplined capital allocation strategy helps offset volume and CPI-related inflationary pressures in lease cash-outs. These focused efforts have driven an increase in EBITDA margins of 300 basis points to 62.1%, up from 59.1% in 2023. The first part of the next slide shows the bridge from reported EBITDAaL and all the components that shape our free cash flow. In addition to our operating performance, this strong recurring levered free cash flow comes from an efficient capital and tax structure, combined with the continued decline in expansion and build-to-suit CapEx, free cash flow amounted to EUR 350 million. This free cash flow acceleration represents a turning point, as you can see in the next slide. Our operational improvements are clearly flowing down to cash. On a pro forma basis, recurring levered free cash flow grew by 11.5%, almost EUR 200 million. And on a per share basis, the increase was even stronger at 16.7%, also reflecting the share buyback program, which continues to enhance value per share. Looking at reported figures, free cash flow reached EUR 350 million, with underlying free cash flow, excluding or before the remedies, improving by EUR 307 million year-on-year. 2025 marked an important milestone for us with the entry into a new phase of consistent and rapidly accelerating free cash flow generation that supports our deleveraging strategy, as you can see in Slide 19. Net debt to EBITDA improved to 6.28x from 6.39x in 2024 and 6.85x in 2023, keeping us firmly on track towards our 5x to 6x target. I would like to note that the pace of deleveraging could have been faster. If we hadn't brought forward EUR 1 billion in shareholder remuneration, our leverage would have closed below the 6x. Our recent EUR 1.5 billion bond issuance that Marco mentioned before in January '26 successfully [ propounded ] most of our 2026 maturities with a strong appetite from investors on the back of a good market momentum and our strong rating outlook. We managed to extend maturities and secure an attractive 3.4% pricing. Now let me hand back to Marco so that he share our guidance '26 and '27.
Marco Emilio Patuano: Thank you, Raimon. I would like to close our presentation with the message of confidence. The strength of our business and underlying sector drivers, the continued execution of our strategy and the power of our customer relationship give us the confidence to firmly reiterate our guidance for 2027 and share our outlook for 2026. Let me highlight that our old outlook has been adjusted to reflect 3 elements: the change of perimeter following the data center disposal, the discontinuation of our operation and maintenance business in Spain and the incremental financial costs associated with the share buyback. As you can see, we are very optimistic about our continued growth, profitability and cash generation. So in summary, 2025 was a great year for us, and we're very confident going into 2026 and 2027. Our business model is intact. Drivers of network investments are healthy and customer relationships are stronger day by day. Our organization is driven with renewed leadership focused on growth, efficiency and customer excellence. Our growth trajectory and increasing free cash flow underpin our commitment to enhanced shareholder remuneration and give us further capacity to outperform our CMD distribution targets. So thank you.
Maria Carrapato: Okay. So before moving to the Q&A, I'd just like to highlight that in addition to the main slides in the body of the presentation, we've added a few new slides at the end, some fact slides that cover many of the topics that you often ask us. So we really hope you find them useful. And with that, we're now available to take your questions.
Maria Carrapato: So the first question that we have on the line up is from Roshan Rohit -- Ranjit at Deutsche.
Roshan Ranjit: I just got 3, hopefully, quite quick, please. Marco, you highlighted the Spanish revenue pick up, so kudos. I guess this is the benefit of the kind of the mergeco ready coming through now. Could you remind us how many ops and the trajectory of that ramp up through 2026, please? Secondly, on the EBITDA pick up, a strong acceleration on the organic growth. Is this now the benefit of the rank of [indiscernible] coming in and we should expect that momentum to continue through '26, or is there an element of timing effect in there, please? And lastly, thanks for the additional color on the backup slides. I'm quite interested in the RAN sharing slide, and you've given examples across Europe. Is it possible to get a sense of the kind of pricing premium across different markets that you attribute from RAN sharing?. Is it kind of a consistent uplift in the pricing? Or does it vary dependent upon market structure?
Marco Emilio Patuano: Yes, very good. So on your first question on Spain, I take question 1 and 3, and I leave the EBITDA to lease to Raimon. So on your first question, so Spain had -- the first phase in Spain was the redesign of the network coming from Mas Orange. So you see that at the beginning of 2025, we had a material churn in the -- in our point of presence. We started in the second part of 2025 to activate the RAN sharing agreement we have with Digi, which was a part of the deployment strategy of Digi in Spain, and we started the so-called rural project in Spain with Mas Orange. Now for 2026, we start entering in the densification process project that we have with Mas Orange and we will continue to activate more PoPs with Digi. So 2025 was Mas Orange very much focused on reshaping the network and the activation of Digi filled the gap that was coming from some discontinuation in Mas Orange and 2026 on the contrary will be Mas Orange starting the densification project. Your second question on RAN. The question on RAN is pricing depends very much on -- not very much, to some extent on market conditions. You should imagine something between half of a colocation price and 1/3 of the colocation price, depending on the structure of the market. Normally, they have very, very, very limited activation costs on our side. So it's a pure margin for us. because there are basically no CapEx associated to this. Yes, there are some OpEx because our engineers have to make some little adjustments, but it's pure margin.
Raimon Trias: The EBITDA perspective and Landco, as you will have seen this year, we have done up to EUR 270 million worth of initiatives, both on efficiency land acquisition across all the different countries that have allowed us to save approx EUR 24 million in terms of savings of EBITDAL. As you have seen on the guidance, this trend will continue going forward. The idea is that over the next years, since we created Celland, we have accelerated the amount that we are able to buy and we're buying more than prior years. It is true that we need to be careful not to compete with ourselves, and we need to keep certain level that normally we consider rate between EUR 250 million, EUR 300 million for the coming years to keep on achieving this level of savings going forward.
Roshan Ranjit: That's great. So just on the last point, Raimon. So the kind of Q4 exit EBITDA growth would be something that we can expect through '26 then?
Raimon Trias: I would say, if you take the savings that we have achieved this year, there is part of it, as you are saying, there has been a bit more of activity in the last quarter and a bit more of savings. So you have to consider that for doing the phasing for next year. But then next year, it will depend if we buy EUR 250 million, EUR 300 million, that the new savings of next year will kick in as well.
Maria Carrapato: So moving on to the next question. It comes from Rohit at Citibank.
Rohit Modi: I have 3, please, as well. Firstly, on the guidance for 2027, I understand the guidance was initially given it was a bit long dated and you have a broader range. Now given you are near to 2027, we have already in start of 2026, we still have, I understand 5% on range on the revenue level, but that goes down to 20% on free cash flow level and with a business like Cellnex where you have a higher visibility. I'm just trying to understand what are the swing factors on recurring level free cash flow and free cash flow for '27 that you expect that number can move from lower end to higher end. That's the first one. Second, again, there's a lot of noise we have seen particularly recently in Italy around renegotiation of contracts. I'm just trying to understand, Cellnex could be any kind of beneficiary if -- from -- if any, anything happens in Italy. And lastly, if you can just remind us around the derivative position that you have taken last year, the swaps just before the buybacks. I mean, is there a kind of termination date do you have on those swaps given you do mark-to-market and you have kind of cash outflow -- potential cash outflow if you move terminate that contract.
Marco Emilio Patuano: Okay. So on 2027 guidance, yes, I remember there was a bit of skepticism in the recent past about our capacity to go to target. The more it was long term, the more the skepticism was higher. Today, I think that the level we reached in 2025 give good visibility of how the recurring level free cash flow and free cash flow are achievable. So what are the factors that made them achievable? Well, we defended and protected the revenue growth. The revenue growth despite a worse-than-expected originally expected CPI, we are maintaining a good level of growth. This is important. And as you saw, the idea of making a new organization is in order to keep revenue growth. We are performing well in terms of efficiencies, Raimon just explored. And even more, our discipline in capital allocation was demonstrated more and more. So the range for 2027 is what we confirmed at the Capital Market Day. And the more we get closer to this day, the more we see it feasible, both in terms of recurring levered free cash flow and even more importantly, in terms of full cash flow. So your second question was about contract renegotiation. Look, what I can tell you is that we already renegotiated several contracts. Renegotiated with Telefonica, we had no problems. We renegotiated with Vodafone, we had no problems. We renegotiated with KPN in the Netherlands, we had no problems. With Iliad in France, we had no problems. So our experience is that the renegotiation moment is a moment in which you sit with your client. The client will tell you what he likes and what he doesn't. But the core elements of our contracts have never been questioned. So the fact that it is a long term is a long term, the fact that it's an all or nothing, is an all or nothing, and it has never been questioned until today. On top of these, talking about Cellnex, what I can tell you is that the coming renegotiation are not tomorrow. So we have the next renegotiation we have one in Italy in 2030, and then we go to 2033, 2034, 2035, 2036, 2038, 2042, 2048. So in this moment, of course, we are looking with attention what happens in the industry, but our experience as of today has not been dramatic. And the last, I leave to Raimon.
Raimon Trias: Yes. On the last topic, I'm not sure if I understood properly, but I'm going to try to answer what I understood. I think that you were asking why last year, most of the return -- all the return that we have done to shareholders have been through the share buybacks. There are various reasons. The first one, if you remember, in the Capital Markets Day, we committed to a dividend starting 2026. Why is that? You've seen the guidance that we have given. The free cash flow is between EUR 600 million and EUR 700 million. So it allows us to pay a dividend based on the cash generation from the business. Last year, we had cash available that it was coming partially from the cash generation of the business, the EUR 300 million that we have done EUR 350 million, but it was coming also from the divestments of Austria and Ireland. And on top of that, the share price was at a moment that was very attractive. That's why we also decided to use the proceeds for doing the share buyback. I hope it was clear enough.
Rohit Modi: Sorry, it was regarding the swap, the swap contract that you entered last year, would you continue to have that contract?
Raimon Trias: No, the equity swap, it is still in place. It matures in June '26, and it was bought at EUR 32, and we are today at EUR 31.5.
Maria Carrapato: Okay. So moving on to the next question. It's coming from Arnaud Camus at Bestinver.
Arnaud Camus: First, I assume the disclosure may be limited, but could you provide some indication of the size of the battery resilience agreement you have signed with Telefonica in Spain? Should we assume this is a replicable model to other countries of your footprint? And two, more broadly regarding the forthcoming Cybersecurity Act. I know it may still be early, but could you share any initial visibility on the potential CapEx envelope and implementation time as you are an infrastructure provider to telecom operators? And is it already considered within your 2027 guidance?
Marco Emilio Patuano: So the battery agreement is still -- sorry, it's relatively sizable with Telefonica. We are discussing with them how to expand it more because what we agreed with them is to have modular development of this program based on the network design. Our technical teams are working strictly together. The target is to have several thousand sites covered. And it's a super interesting business model because what we do is like imagine not to be a pure infrastructure or a simplified infrastructure, but to be a service infrastructure provider. So we help to take care of the infrastructure from the bottom to the top. Having a program that allow us to buy batteries on a pan-European basis, we can have very good prices. And even more importantly, we have very long insurance terms for the life protection of those batteries. We agree on life protection up to 15, 20 years. Is it replicable? Yes, it's very replicable. We have several other customers that are interested in this business model exactly because of what I told you. We are negotiating very good prices on very good volumes. don't underestimate the fact that securing volumes in this moment in which there is -- starts to be a certain level of shortage on this type of elements is clear. About the Cybersecurity Act, the CSA, I was in Brussels last week talking about DNA and CSA, so the 2 regulations that are expected going forward. The answer is, yes, we are working very closely with the European community. There are still margins of nonclarity -- nonperfect clarity in what is going to be the final outcome. And to be honest, different member states have a different interpretation of the scope. Some are more strict, some are less strict. What we have in 2027, we are convinced that is full enough for what is going to be the requirement of the CSA. Then if you ask me if the CSA will be fully enforced in 2027, I'm not so optimistic.
Maria Carrapato: Okay. So moving on to the next question. It comes from Fernando at Alantra.
Fernando Abril-Martorell: Two quick questions from my side. First, on the expansion CapEx. I've seen it is down 6% year-on-year on a pro forma basis. So I don't know if you can elaborate a little bit on the main drivers behind this? And also, how should we think about its evolution for '26 and '27, the split between the different 3 CapEx items? And second, on PoPs growth. So you've accelerated throughout the year. Is it reasonable to assume a similar growth profile in '26? And can you give us an indication of what share of new PoPs will be linked to RAN sharing agreements?
Marco Emilio Patuano: Okay. On expansion CapEx, so there are 2 elements. A few time ago, Raimon showed you that on DAS, Small Cells, RAN and other services, we grew almost 5%. The reality is that if you open this number between DAS and Small Cell RAN and other, you would have seen that DAS and Small Cell were growing about 8.1%, RAN about 10% and the other was growing much less. But the real focus for us today is DAS, Small Cells and RAN. So going forward, what we see -- the place we see having the CapEx is those 2 areas; DAS and Small Cells in this order, more DAS than Small Cells. So the Small Cell take-up is still low even though there are some interesting use case in some European countries that we are monitoring very closely of Small Cells covering city center very efficiently and with a very low urbanistic impact and the other is RAN. Our RAN project in Poland is using some CapEx. So this is about the expansion CapEx. Then of course, there is a part of expansion CapEx that is linked to colocation, but its tower expansion CapEx that you know every year, we have more or less the same. About PoP growth, Raimon?
Raimon Trias: Yes. So during the year '26, you know that our growth in PoPs comes from 2 things, comes from colocations and it comes from build-to-suit. Build-to-suit will slow down a little bit in the year '26 basically because our programs of build-to-suit are reducing year-on-year as they come from the prior M&A deals. The normal colocation, we're expecting similar growth this year, not a big difference. And you were asking as well from our RAN sharing perspective. This year, the RAN sharing has mainly been in Spain with the entrance of Digi. And I would say that for next year, although you also have a bit in Italy, I would say that for next year, you have to consider that there will be similar RAN sharing coming from Spain and a bit in Italy as well. But I would just consider that from the colocation comes from Spain is what will be RAN sharing.
Maria Carrapato: So moving on to the next question coming from Ondrej at UBS.
Ondrej Cabejšek: I had to step away for a moment, apologies if I'm repeating the question. Please feel free to ignore. I have 2 questions, please. One is on the news that Iliad has decided to allocate part of the contract that you were mentioning at the previous quarter that you are kind of looking at the 4,000 sites in France. So Iliad has allocated at least half of this to TDF. I was wondering, Marco, if you can again kind of explain to us your thinking about the returns on this project, why this is the second project with Iliad specifically that you are kind of turning or walking away from presumably because of the kind of IR not meeting your standards. So that would be question number one, please. And second question related to France. We heard last week on the CMD that Christel, the CEO of Orange, was talking about again, again kind of investment remedies. And so I was wondering if this is something that is already somehow kind of taking shape in light of various positive, say, developments, for example, the European Council openly suggesting that M&A should be allowed and investment is needed, remedies are needed in that direction. So any kind of color on developing talks around that potential situation would be very helpful.
Marco Emilio Patuano: Okay. I answer Nemrod and then today with us, there is also our Chief Strategy, who is French, by the way. So I will leave him to respond Ondrej. So on Nemrod, yes, we have been -- we participated to the tender and the tender itself is an evidence that there is more need of coverage and densification. So this is -- I commented a million times in the past and then there is a tender. So the good part of the story is that densification needs are there. We've been looking to the tender. We submitted an offer, but we submitted an offer that was in line with our capital allocation rules. So did make us not to reach the agreement with Iliad because it was out of our investment criteria and our capital allocation criteria. So we decided that if there was someone offering more, we would have stayed disciplined. So our goal is not to catch up with every investment there is in Europe. There are -- we are disciplined. We know where we create long-term value creation. And so that's it. We will focus on other projects. Vincent, would you like to answer the second question?
Vincent Cuvillier: Yes, of course. So yes, we are obviously very -- extremely close to our different customers. We are not directly involved, as you perfectly know, within the discussion of the consortium. But we are also, as Marco mentioned, pretty convinced that any consolidation, if it happens, will come with investment remedies not only in new coverage, but also on the resiliency of the system. So we have shown our proactiveness with all our partner there to support these remedies. And as you perfectly know, in any case, what we will procure is to protect the NPV of our contract and giving some short-term flexibility in exchange of long-term growth that will come from these remedies without any doubt. And this is what we will protect -- this will result in the protection of the NPV of our contract.
Marco Emilio Patuano: Okay. Thank you. So yes, I was with some members of the French institutional establishment and what they told me is that they consider infrastructure investment, a high priority for the country. So there's no doubt that there will be more investment coming.
Maria Carrapato: Okay. So now moving on to the next question. We have Abhilash from BNP on the line.
Abhilash Mohapatra: I just had one, please. I wanted to come back to the topic of the guidance ranges and specifically around the revenues. So about EUR 100 million delta for 2026 between low and high and EUR 200 million for 2027. Just wanted to understand specifically around revenues, what is the key factor there? Is it around inflation assumptions, presumably not given it's so close. So is it mainly around colocations? Or are there any other factors? So any color you could add there around the revenue would be very helpful.
Marco Emilio Patuano: Yes. Do you want to Raimon?
Raimon Trias: In terms of the guidance, the only thing that we have adjusted, you have it in the presentation is basically the change of perimeter that is coming because of the data center disposal. Also, we have adjusted the discontinuation of the operational maintenance activities that we have in Spain. If you recall, we decided to stop this something like 18 months ago, but it had an impact during 2 years still because it took some time to discontinue the operations. And the third thing that we have adjusted into the guidance is the impact of the increased share buyback that was not considered in our numbers in the Capital Markets Day. The rest of the guidance, '27 has not changed and remains as it was before.
Abhilash Mohapatra: Apologies, if it was not clear from the way I framed the question. I was just -- maybe sort of more wondering around what is driving the variance between the low and high end of the revenue range. What are the key factors?
Marco Emilio Patuano: Yes. I think that the width of the range depends very much on somehow the future of build-to-suit programs if we are going to allocate more build-to-suit programs or not. A [ Nemrod ] project enters, we have the full capacity in our cash flow to have such a project and it contributes to your growth. The Nemrod project doesn't enter, and we rely more on colocation and the existing commitments that we have. So having -- or maintaining a certain element is absolutely normal. And by the way, so it is also a decision of not to touch what we committed at the Capital Market Day. So if we start touching one point, then we have to make a full revision. So -- but if you ask me what can move us from the low end to the high end, I would tell you that what is going to come from colocation, RAN sharing, et cetera. More or less, we have a fairly clear picture. What are the commitments that are already taken. We know even the [ cent ] is possible that something more materialize in the coming months before -- between here and the end of 2027. Yes, and we will evaluate. We demonstrate we are disciplined. We're not going to make crazy stuff. If we do something, it's because it generates value, long-term value. So I think it's fine.
Raimon Trias: If I can add to Marco, it's important that everyone understands the predictability of the business. This year, we have achieved the guidance '25 that was given 5 years ago. So the barrier that can happen within these numbers is very small in that perspective.
Marco Emilio Patuano: Good.
Abhilash Mohapatra: Thank you both for the color. So just to clarify, so you're saying that the high end of the guidance is more sort of predicated on additional build-to-suit projects over and above what we already have, if I understand that correctly for the revenue guidance...
Raimon Trias: For going up to the higher part of the guidance, yes, there are other projects that should be won during the year to be able to get to the higher part of the guidance correctly.
Maria Carrapato: Okay. So moving on. We can follow up afterwards if you still have any questions. Now moving on to the next question, comes from Fernando at Santander.
Fernando Cordero: My two questions, in fact. The first one is related with a follow-up in the sense that you have been already asked about your confidence on the growth for 2026. I'm going a little bit beyond given that the build-to-suit activity is going to clearly decrease by 2027 and onwards. How confident are you of replacing the current [indiscernible] of growth coming from build-to-suit with colos. And the second question is on active equipment. You have already seen the project in Poland. I just would like to understand at which extent you would be also, let's say, open for additional projects, and particularly, I'm thinking in Spain, just as a way to complement your current portfolio and even to, let's say, to give more visibility in the long term to your current business in Spain?
Marco Emilio Patuano: So the build-to-suit programs, as I said, 1 second ago, we are -- we have a program of committed that what has been already committed, has a sharp decline after 2026. 2027 will be materially lower than 2026. And -- so this is why we are working on analyzing future possibility, future opportunities that can appear in the market. On your question on active equipment and especially on Spain, I would say that it's not our sweet spot. So if you ask me if is this your sweet spot? My clear answer is no. We have the project in Poland. We are performing the project in Poland, I would say, fairly okay, okay in terms of how the project is going on, what are the returns, the relation with the client, et cetera. But what I can tell you is that contributing with a material benefit to the client we can do way more on the traditional perimeter than on the active component. Then every case is different. Today, a case in Spain is, I think, more a press rumor than a real case. So as of today, my answer is more no than yes. This is also something that is not so clear if it is a real case or a speculation. But I would say more no than yes.
Fernando Cordero: My question on the PoP growth is because [indiscernible].
Maria Carrapato: We can't hear very well.
Marco Emilio Patuano: Can you speak a bit louder, please, Fernando?
Fernando Cordero: Can you hear me right now?
Marco Emilio Patuano: Much better.
Fernando Cordero: Okay. Perfect. Now my point is the following. There is a debate that at which extent your current PoP growth in Colors is subdued by the fact that you are deploying the build-to-suit programs. And in that sense, what should be, let's say, the your, let's say, your base case in terms of ops, it is the total growth that we are seeing today or just the colors when the build-to-suit product will be trading down.
Marco Emilio Patuano: Well, the color that you see today is what we assume is going to be the rhythm of the colocation. And of course, if you see that the build-to-suit tend to reduce after 2027, we are going to push more on colocation. The point is we are looking to an important market share on new colocation. So what we are doing is maintain or eventually even increase our market share. And in order to do this, our technical team is working with proactive models in order to codesign with our clients better coverage. This is something that if you want, we can explore and explain better separately.
Maria Carrapato: So moving on. Next question comes from James Ratzer at New Street.
James Ratzer: I have 2 questions, please. So the first 1 is you're seeing some very encouraging growth in the kind of just organic colocation on your Towers. I'd be really interested just to hear more precisely where you're seeing that demand coming? Is this in kind of urban hot spots is this rural areas? Are these transport links. And you're speaking to the MNOs, where are you finding that particularly seeing this demand for organic colocation growth? And then secondly, kind of bigger picture, Marco. Where do you see Cellnex's portfolio of assets going, let's say, over the next 3 to 5 years. I mean if you announced here this morning another small disposal I mean, how do you see yourself at some point ever going back into acquisition mode and growing the portfolio of the business? I'd just love to here a bit more conceptually how you think about the kind of strategic portfolio over the next 5 years.
Marco Emilio Patuano: Yes. Very clear, James. So on organic colocation, it's super interesting because when we go with my Chief Operating Officer and we start looking at the detailed figures, we look to our portfolio splitting between towers and rooftops and then urban, suburban, rural and deep rural. So the more you are tower in non-super dense area, the more you have opportunity for colocation, which is good common sense. If I'm in the center of Paris, adding a co-location on an existing rooftop is not difficult technically. It's difficult urbanistically. So you don't get the permit. So colocation are most of all suburban and suburban is the big roads and transportation corridors even inside the cities because these generate traffic congestion -- data traffic, not only car traffic congestion, but also data traffic congestion. And the rural, the rural is going to be a mix of colocation and RAN sharing. The more you go in deep rural, the more we suggest to our client to be efficient. We are making this, for example, in Switzerland. We are telling to our clients RAN share more because the industrial cost is for them, not for me, for them. The industrial cost make the investment having a better return. So the more you look at tower and the more you look at non-super dense urban area, the more you have opportunity for colocation. The more you have -- you are densifying dense urban areas, the more you have to think about more towers or eventually distributed small cell system or distributed antenna systems. I hope I made it clear, James. The second is how do we see the portfolio medium to long term? So point number one, everything that is noncore and you are easy to understand the participation, we were a limited partner in an investment fund. Hard for me to say that this is core. We had a commitment of further EUR 50 million to be invested in the future, and we could repatriate with a nice return, our old investment. So why not to rotate this asset? I think it was a relatively easy decision. We had a very good cooperation from the GP, the general partner cooperated with us very nicely. And so we made it. Now -- when you look at can Cellnex be on the buy side, I would say, for geographic expansion, I'm fairly categoric in saying no. I don't see Cellnex exit from markets and then reentering new markets because -- no, I don't see this that in terms of geography, I think we are pretty much okay. But if the MNO are claiming that there is too much fragmentation in the market, I would say the tower sector in some markets can say the same. In Spain, there are 4 tower players and 3 networks. In France, there are 5 tower operators. And if you count also smaller ones, you can eventually even consider it more fragmented. So those -- U.K. is the same. U.K. is pretty fragmented in terms of tower operators. Consolidation -- in-market consolidation in tower operator can make good synergies. The easy and evident one, I can manage more portfolio, more towers with less than proportional growth of people. This is, let me say, the trivial one, the easy one. The most interesting one is that when you put 2 portfolio together, you start realizing the real overlaps between portfolios and you can start decommissioning part of the portfolio, transfer to your clients part of the benefit. And this is what is -- what make it very, very, very interesting. So this kind of consolidation is not there today because there is nothing there today. But if your question is, how do I see it medium term, I think that this fragmentation, same as the MNO saying that it's unefficient, I can say that it's not particularly efficient even in the tower sector.
Maria Carrapato: Okay. So now moving to...
Raimon Trias: We have another 2 and then...
Maria Carrapato: Yes. So now moving on to Graham at Jefferies.
Graham Hunt: Yes. I'll just stick to one, if that's okay. Can I just ask a bit more on the reorganization that you announced that you took at the beginning of the year. Maybe if you could help us understand more about the characteristics of that business unit as to why it suits the cross-market leadership structure and what the challenges were that you're encountering before this that the new organization is looking to resolve.
Marco Emilio Patuano: Thank you. Thank you, Graham. The reorganization was based on 2 main drivers. One is at corporate, we need to be more efficient. And to be more efficient, we need to be more focused and more slim, if you want, and then we have to decide what we do and what possibly it's not absolutely necessary. So this is why we made our organization at the headquarter level leaner. Leaner means faster and means also it makes easier to make decisions. So this is why we were reorganized the headquarter. When we were looking to the countries, we had some, let me say, some combination -- geographic combination that were a little bit hazardous. So we had a Portugal together with Poland, instead of being together with Spain, which is honestly not very geographically natural. So we've made some adjustments because it could make available some synergies that are not to imagine enormous synergies, but there can be some synergies. And the last and most interesting part was what we call Vertical Solutions. So Today, what happens is that if you take a large country like -- let's take 2 large countries, one is Italy and one is France. In Italy, the non TowerCo business accounts for a sort of EUR 40 million to EUR 50 million. In France, it accounts for less than EUR 5 million. Do you mean that the French market is 10x smaller than the Italian market? Or do you think that with the EUR 40 million to EUR 50 million, we covered all the opportunities we had on the Italian market? The answer is no and no. So -- but the problem was that sometime each and every country is very specialized and very focused on the day by day and sometimes some opportunities are simply not big enough, not priority enough, not to specialize -- we are not specialized enough to make it possible. So the idea was, okay, we are -- altogether, if I take all my countries, we are the #1 in Europe, but we don't play as the #1. We play 10x as a small operator, and we want to play one time as a big guy. But in order to do this, you have first to think big. If you think small, you remain small. So we need to think big. And in order to think big, I need to put all the volume together. And think central, act local is going to be the route. So I think that, yes, like every matrix organization, there are challenges, but it can work well. Do we have an example? Yes, Celland. It was a lot of small initiatives, each of them small. Now we have Celland and it's doing phenomenal. So let's try to capitalize on good experiences.
Maria Carrapato: Okay. So now to end the call. I'll ask a question from Andrew at Goldman Sachs.
Andrew Lee: I just wanted to -- just one question, just to dive in a bit more deeply into the Spanish densification reacceleration. You've obviously seen the equivalent PoPs in Spain tick up, I think, as was mentioned in an earlier question. Could you just give us a bit more insight? Because obviously, this is a key metric for us to be thinking about whether -- as to whether consolidation is a good or bad thing for telcos. And obviously, consensus thinks it's a bad thing and you think it's a good thing. So we're obviously all looking for evidence of densification acceleration. If that's happening now, what exactly does that look like? So what will be the equivalent PoP growth in Spain that you see in 2026 and 2027. I think -- sorry, the company average or Cellnex average is 3.7% equivalent PoP growth in the fourth quarter. What does it look like in Spain with that growth acceleration that we're seeing from densification?
Marco Emilio Patuano: You are a little bit difficult because you talk about equivalent PoP and they talk about PoP. So the concept of equivalent PoP was a concept that has been used by Cellnex some time ago in order to facilitate the exercise of saying equivalent PoP time average price equal to revenues. The world doesn't work in equivalent PoP nor in average price. So average is a bit tricky exercise because I'm eating an entire chicken, you eat 0 and we had half a chicken each. So it's not true when we see if you're hungry at the end or not. So the growth in Spain or what happened in Spain is point number one, Mas Orange had to take 2 networks, one built at Orange standards and the other built at MASMOVIL standards, which were, believe me, very different and to create the Mas Orange network. So we had to avoid duplications. We had to make new colocations. We had to build -- or we have to build new sites, all at the new standard, which is the Mas Orange standard, which is the Orange standard. So top quality, top everything, carrier grade, top carrier grade. So this is what happened in Spain with Mas Orange, which is first part of the year, an accelerated decommission of PoPs, some of them anchor and some of them second. And then a progressive relocation of some of those antenna, most of them anchor, okay? On top of this, we are partner of Mas Orange in their rural deployment program, rural Spain program. And in the beginning of 2026, we are completing the delivery of this program. And this is the picture with Mas Orange. So going forward, what is going to happen? It's going to happen that they are working on improving -- further improving the quality of their network. We are making available more colocation and we are -- and we both committed that we will build for them some of the new installation that they need. Second, part of the decommissioned sites that Mas Orange made available have been taken by Telefonica. Why? Because it was a good location. There was a space on the antenna, which was made available by eliminating one previous antenna. Telefonica considered it interesting. So this happened in the second part of 2025 and will continue progressively in 2026. Our relation with Telefonica is particularly good, as you saw with the battery program. And so we are discussing with them if we can make available more sites with them. In their case, we are talking about more colocation than build-to-suit, but it's a very healthy relation. With Telefonica, we agreed on the activation of the RAN sharing program they have with Digi. It was -- it is a fairly big program. It started in the second part of 2025, I would say, in the last part of 2025, and it will continue in 2026. Why it took a little bit of time because we had not only to agree on a technical program, but also we had to amend our original contract in order to make available for them the RAN sharing on our network that originally speaking was not confirmed. So we made the agreement. So this is another demonstration that when people say that every time there is to discuss about agreements, it's a fight. No, it's a discussion. It's a discussion between 2 [ adults ]. And this is going to continue. In -- to be honest, our relation with Vodafone Zegona is not one of the largest relation -- business relations we have. So the fact that there is a little bit of noise around this is not affecting us particularly. Of course, if we can support Zegona and Vodafone in their network needs more than happy. As of today, it has been relatively small. But of course, if they need, we do. What we see more? We see more densification coming. This is something we absolutely see. We see more densification coming in Spain. And the big question mark is if Digi someday will deploy not only RAN sharing, but also some proprietary network. They did in other country. As of today, it's not in the plans, at least in the plans shared with us, but you never know. I hope I answered, Andrew.
Andrew Lee: I guess the reason why you're using equivalent PoPs was just because it has a more direct correlation with actual revenue growth where these days so much. And it's really what we're trying to ask is like, is revenue growth going to accelerate? What's the revenue growth in Spain post consolidation, post the kind of the rebalancing of 2025? That's the real question. It sounds like you're not able you're not going to -- you can't answer that today, but I guess that's what we're really looking for.
Marco Emilio Patuano: Well, what I can answer is that 2025 has been a little bit better than what we expected. So these -- so let's take the small positives.
Maria Carrapato: Okay. Well, thank you, everyone. It's been a long call, very, very productive, I think. Thank you for your continued support. And as usual, the full team is available for following up if you have any additional questions. Thank you very much.